Operator: Greetings and welcome to Atlas Energy Second Quarter 2024 Financial and Operational Results Conference Call. At this time, all participants are in a listen only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Kyle Turlington, VP, Investor Relations. Thank you. You may begin.
Kyle Turlington: Hello and welcome to the Atlas Energy Solutions conference call and webcast for the second quarter of 2024. With us today are Bud Brigham, Executive Chairman; and John Turner, CEO; and Blake McCarthy, Chief Financial Officer. Bud, John, and Blake will be sharing their comments on the company's operational and financial performance on the second quarter 2024, after which we will open the call for Q&A. Before we begin our prepared remarks, I would like to remind everyone that this call will include forward-looking statements as defined under the U.S. Securities laws. Such statements are based on the current information and management's expectations as of this statement and are not guarantees of future performance. Forward-looking statements involve certain risks, uncertainties, and assumptions that are difficult to predict. As such, our actual outcomes and results could differ materially. You can learn more about these risks in the annual report on Form 10-K we filed with the SEC on February 27th, 2024, our quarterly reports on Form 10-Q, and our other SEC filings. You should not place undue reliance on forward-looking statements and we undertake no obligation to update these forward-looking statements. We will also make reference to certain non-GAAP financial measures such as adjusted EBITDA, adjusted free cash flow, and other operating metrics and statistics. You will find the GAAP reconciliation comments and calculations in the press release we issued yesterday afternoon. With that said, I will turn the call over to Bud Brigham.
Bud Brigham: Thank you, Kyle, and thanks to everyone for joining us today for our second quarter conference call. Before we jump into many of the exciting developments at Atlas, I first want to thank everyone involved with the response to the fire at our Kermit plant on April 14th. The combined efforts of our employees and first responders transform this event into a strong testament to the unique culture of Atlas. It also served as a demonstration of our unmatched advantages, particularly our distributed mining and logistical assets and thus the associated redundancies, which uniquely enable us to reliably serve our customers even in the most extreme and challenging circumstances. Though the fire and the ensuing operational challenges negatively impacted our second quarter results, our team worked around the clock to ensure that every single one of our customers had all of their supply needs met during the quarter and that they didn't miss a beat in their critical development plans. Our customers have options when it comes to proppant suppliers. But in Atlas, they can be confident given that they have the partner with superior distributed mining and logistics assets, a partner who is constantly looking for new ways to improve safety and reliability. We will always move heaven and earth to fulfill our obligation to them. We will always put our customers first. Thanks to the effort from our operations and construction teams, the rebuild of the Kermit facility feed system was completed by the end of June and as since, returned to full load out operations after a brief ramp-up period in July. Given that preventing a repeat incident is of the utmost importance, the rebuilt feed system now incorporates significantly enhanced safety equipment, including rip detection technology, misalignment switches, enhanced belt tracking rollers and both fixed and mobile fire suppression equipment. Most of these concepts were developed for the Dune Express, and we now plan on adding them to the feed system at our Monahans facility in the near future. While events like the power are [indiscernible] welcome, adversity makes good organizations better. I truly believe that Atlas is a better company than it was just a few months ago. And for that, all of the credit goes to our employees. To all of you listening today, thank you for all your effort, creativity and can-do spirit. I could not be prouder to be on your team. Wrapping up my section, these are very exciting times at Atlas. Our initiatives to make the Permian a more efficient factory on the ground are advancing at a very exciting pace. John will cover these in some detail, but importantly, the construction of the Dune Express, our 42-mile overland conveyor system continues on pace and on budget. We are now just months away from commissioning. And I believe it will be a major step-change advancement for proppant and logistics in the Permian Basin with even more to come. With that, I will turn it over to John.
John Turner: Thanks, Bud, and you're right. These are exciting times for Atlas and the Permian Basin as a whole. Before I get into from my prepared remarks, I would like to congratulate Chris Scholla on his promotion to COO for Atlas. His joining Atlas in 2017, Chris has proven to be an effective and creative leader. In 2019, Chris led our entry into the oilfield logistics market. With this promotion, Chris will lead all of our operations. Congratulations Chris, you deserve it. With the Dune Express now just months away from commissioning, we are in sight of our goal of running commercial sand down the conveyor by the end of this year. 39 out of the 42 miles of conveyor modules have now been installed, and we remain both on time and on budget with our original construction plan. Our crews began installing the belt in July with installation expected to wrap up by the end of September. The Fluzone [ph] crossings were completed in June, along with 3 of the 6 major road crossings. Additionally, more than 90% of the 76 pipeline and lease road crossings are in place as our most of the wildlife and cattle crossings. Delivery of the electrical houses is expected in September. With power concerns growing in the more regulated New Mexico market, it is worth reminding everyone that Atlas already has an electricity service agreement in place. As we approach the end of construction, the initial commercial base of the project now becomes critical. Today, we have more than 9 million tons of sand contracted for delivery into the Delaware Basin next year and a line of sight on incremental volumes to add to that total. In addition to the continued progress on the Dune Express, we continue to push forward in our other initiatives aimed at revolutionizing profit logistics. On July 23, Atlas entered into an agreement with Kodiak Robotics, whereby Kodiak will offset a select number of high-capacity trucks with its cutting-edge autonomous driving technology. In May, Atlas in partnership with Kodiak made the first ever driverless commercial delivery of sand to a well site. Using the Permian Basin's expansive private lease road network, a driverless truck traveled more than 21 miles from our Drop Depot just off ride pan roads to the customer's well site with no personnel inside the cab. Once at the well site and on-site employees opted into the cab and unloaded the sand. The vast loss of private lease roads across the Permian Basin are ideally suited for this type of application, where traffic is lined and average speeds are under 20 miles per hour. We believe this has the potential to offer a safer, more reliable last-mile delivery solution to our customers in the Permian Basin and could represent a step change in logistics. Atlas has ordered the first two trucks equipped with the Kodiak Driver, which is Kodiak's industry-leading autonomous system, and we plan to launch commercial operations with those trucks in early 2025. While we do not expect this partnership to have a material impact to our 2024 financial results, we are excited about this partnership's long-term potential impact to our logistics operations and results. Moving to the broader market. 2024 has proven to be a much more challenging year for the oil field. Despite a relatively strong crude take, a combination of continued operator consolidation and weak natural gas prices has led to a decline in drilling and completion activities this year. The Permian rig count is down approximately 10% over the past 12 months and is expected to remain relatively stagnant through the back half of this year. The decline in activity levels, combined with the majority of service demand emanating from a shrinking pool of operators has led to falling utilization rates for most service lines and a commensurate loosening and pricing behavior. The Permian profit market remains one of the few, if not only relative bright spots in terms of year-over-year demand growth, driven by longer laterals and continued growth in completion efficiencies. The continued adoption of both simul- and trimul-fracs, which are now estimated to comprise approximately 25% of the market, the accelerating deployment of efficient electric frack fleets and the higher profit intensity of new well designs are all combining to support the Permian profit market. Despite a double-digit decline in rig activity, profit demand is still expected to be up slightly year-over-year. To provide some quantitative back into this, the average amount of sand pumped by a fracture is an increase from approximately 40,000 tons per month just a few years ago to more than 65,000 tons today, with many of the leading edge crews now pumping more than 100,000 tons. Nevertheless, with the recent industry supply additions over the past 12 months, the supply-demand balance in the Permian proppant market is notably looser now than it was this time last year. While several of our larger customers are using the recent pricing relief to lock up volume, return at attractive prices in the mid-20s, we have seen spot prices at levels, we believe to be near breakeven gross margin levels for our less advantaged competition and well as the negative fully loaded cash flow territory for several of them. It's in market conditions such as these that Atlas is advantaged reserves and operations really shine as we are still able to generate healthy margins and returns of pricing levels that cause some of our competition to struggle. While certainly a lot more fun to be riding away for faulty pricing, markets like today are ultimately healthy for the industry as they typically drive subpar operators out, incentivize continued consolidation and ultimately lead to much healthier markets in the future. Relatedly, I wanted to briefly touch on the US Fish and Wildlife Services, June 20 decision to lift the dunes sagebrush lizard on the endangered species list. As many of you are aware, Atlas has been a member of the 2020 candidate conservation agreement with assurances for the CCAA. The 2020 CCAA was developed to provide a conservation strategy framework for companies operating in the Permian Basin by establishing certain guidelines, such as limiting annual surface disturbances to 60 acres among other requirements. In addition, the CCAA instituted an annual habitat conservation fee and permits companies to set aside acreage or take other conservation actions to offset the fee. As a member of the CCAA, we do not expect to see any disruptions in our operations due to the listing of the Dunes Sagebrush Lizard. However, we do believe that the listing will have both short-term and long-term impacts on overall industry supply over the coming years as it will likely become increasingly more difficult for mines with smaller acreage position to remain in good standing with contribution measures while maintaining current production levels. A quick update on our OnCore operations. During the quarter, we launched Oncore #8 in the Midland Basin. Oncore #8 is a larger mobile mine, than our prior deployments with a production capacity just north of one million tons annually. Additionally, we are currently in the early stages of deploying an additional OnCore unit in Loving County, near the New Mexico, Texas State line. Atlas' commitment to innovation continued to be on display throughout our organization, as exhibited by our partnership with Kodiak that we will look to pair with the Dune Express, mobile mining and high-capacity multi-trailer operations. We strive to make the Permian a more efficient, safer and more reliable basis for our employees, customers and the communities in which we operate. I will now turn the call over to Blake, to discuss our second quarter results and outlook.
Blake McCarthy: Thanks, John. For the second quarter of 2024, Atlas reported revenues of $288 million, up 49% sequentially from first quarter levels due primarily to a full quarter impact from our acquisition of Hi-Crush. Adjusted EBITDA was down slightly to $72 million or 25% of revenue, and net income was $14.8 million or 5% of revenue. As I will detail shortly, the impact from the fire damage at one of our Kermit facilities proved to be more significant than we had initially expected at the time of our Q1 call. However, the vast majority of this incremental impact was offset by superb performance from both our other plant operations and our logistics business, allowing us to generate adjusted EBITDA that was roughly in line with that of the first quarter results. Revenues from product sales were approximately $128 million on volumes of 4.9 million tons, yielding an average sales price of approximately $26.07 per ton for the second quarter. These figures do not include sand tonnage purchased from third parties in the open market to fulfill customer obligations due to the fire. Service revenues were approximately $159 million during the second quarter, approximately double the levels of the first quarter, due to a full quarter impact from the Hi-Crush acquisition and continued growth in our legacy business. Our logistics team set a quarterly record for loads delivered during the quarter, delivering more than 50% of our sand volumes utilizing our own last mile crews. We had roughly 26 crews running during the quarter and believe that number will continue to grow modestly in the second half of the year as we approach the commercial in-service date of the Dune Express. The logistics business was running on all cylinders during the quarter. And while we do expect some normalization in results during the second half, the Atlas logistics team continues to submit itself as a leader in the industry. Cost of sales excluding DD&A, were approximately $202 million. Plant operating expenses, excluding DD&A, were approximately $68 million or $13.84 per ton, significantly above our normalized levels. The increase in our plant operating expenses was largely due to costs associated with the temporary load-out at our Kermit facility, lower throughput and a delay in the commissioning process of one of the Dredges. The total financial impact from the fallout of the fire incident came out around the top end of the $20 million to $40 million range that we gave on our Q1 call. Our team on the ground has performed exceptionally throughout the rebuild process with the construction process finishing by the June 30 target. The facility was ramping back up to normal operations over the course of July and has now returned to normal lowdown operations. However, due to the ramp-up period, we do not expect our Q3 average OpEx per ton metrics to fully normalize but do expect them to return to normal levels by the end of the year. While the Kermit rebuild garnered the most attention during the quarter, I would be remiss if I did not mention the exceptional formants achieved by our other plant operations. Our Monahans and other Kermit facilities were quite simply humming over achieving on both the production and efficiency targets. Additionally, OnCore volumes were the second highest in company history despite two units being offline for relocation during the quarter. Our Q2 SG&A was approximately $27 million, a figure that was inflated by approximately $6 million of acquisition-related costs and approximately $5 million of stock-based compensation. Moving forward, we expect to realize incremental corporate synergies in the third quarter and expect SG&A to return to a more normal level in the $15 million range. Royalty expense was approximately $4 million. Cash interest expense was approximately $11 million, offset by approximately $2 million of interest income. We expect our net interest expense to rise slightly in coming quarters as we draw on our cash reserves to fund our key growth projects. Operating cash flow for the second quarter was $61 million and adjusted free cash flow, which we define as adjusted EBITDA less maintenance CapEx, was $67 million, yielding an adjusted free cash flow margin of 23%. Capital expenditures during the quarter totaled approximately $132 million, $127 million towards growth and the rest of maintenance. Our growth CapEx consisted of $77 million spent on the construction of the Dune Express, $31 million for the additional OnCore deployments and $19 million of spend associated with the rebuild of feed system in Kermit. We have already been reimbursed for $10 million of the current spend and excluding a small deductible expect to be fully reimbursed by insurance for the remainder. Maintenance CapEx for the quarter was approximately $5 million. Cash and equivalents stood at $105 million against total debt of $480 million. Looking ahead to the third quarter, we expect production at our Kermit facility to steadily increase over the quarter after the ramp-up period in July, yielding an approximate 20% sequential improvement in total Atlas volumes. Combined with the continued strong execution from our other plants and our logistics business, we estimate Q3 EBITDA to be in the range of $90 million to $100 million, with the company exiting the quarter at a higher run rate. Due to the strong cash profile of our business, we are increasing our dividend to $0.23 per share, which represents a 5% increase over the prior period or $0.01 per share. We have elected to move away from the base plus variable dividend structure to a stand-alone ordinary dividend. Based on our closing share price of August 2, our annualized dividend yield is 4.9%. That concludes our prepared remarks. We will now let the operator open the line for questions.
Operator: Thank you. We will now conduct a question-and-answer session. [Operator Instructions] Our first question comes from Jim Rollyson with Raymond James. Please proceed.
Jim Rollyson: Good morning, Gents, and congrats on getting Kermit backup and running in a timely fashion. Maybe Bud or John, there's been some press here over the last quarter on kind of trucking rates being depressed in the Permian. And kind of curious how you view that as far as impacting your logistics business and how that might play into your margin outlook for as Dune Express ramps up into next year?
Blake McCarthy: Hey, Jim, Good morning. it's Blake here. I think this is a really good question for our newly minted COO, Chris Scholla, who is joining us here to answer. So he's the one with the most day-to-day real-time exposure to this phenomenon. So we'll pull pass it over to Chris.
Chris Scholla: Yes. Thanks for the question, Jim. So look, while truck rates in the Permian, they have fallen throughout 2024. Our structural advantages really starting to shine through as you see in the numbers. Let's think about this from a macro level to start. So while the sand demand, it does continue to grow out there, innovations such as our Mobile Mini and Dune Express reduced the well-site haul distances by over 50%. So the shorter haul distances and higher associated truck churns that ultimately decreases the number of trucks that are required to service the Permian. With trucking rates already at breakeven pricing, we don't anticipate a further decline in pricing, but we do anticipate inefficient trucking companies continuing to exit the Permian Basin. For us, it was never about just starting a trucking company, right? It was about executing a long-term strategy to be the lowest cost to operate and most efficient logistics provider in the Permian. I mean, let's just walk through and look at the steps we've taken to get there. We vertically integrated into trucking. We've watched our own digital platform to automate dispatch and gain efficiencies. We've executed multi-trailer operations, delivering four times the normal payload. We've delivered sand to a well site without a driver. And lastly, we've become the closest to the well site in the Midland by acquiring the Mobile Minis. And look, our margins will only be further enhanced with the launch of the Dune Express in Q4. While trucking prices have fallen in an order of magnitude, it's really only marginal compared to our structural cost differences, advantages. We are revolutionizing sand delivery in the industry and excited -- and really excited that we are just getting started.
Bud Brigham: Yes. And Jim, adding on to Chris there, we get a lot of questions about trucking pricing impact on potential Dune margin contribution. I think it's important to remember that when Atlas management underwrote the decision to build the Dune Express, it was stress tested every which way. And our base case assumptions are actually very much in line with today's market conditions, not with the frothy things that we're seeing of 18, 24 months ago. So needless to say, we remain very confident with the financial impact of the Dune Express status moving forward into 2025.
Jim Rollyson: Appreciate all the detail and look forward to that. And maybe following up, Blake, you talked about third quarter volumes kind of ramping 20% sequentially. And you guys also earlier in the call talked just talked about the rig count and some of the offsets that have actually kept Permian sand demand flat to up marginally this year despite that. Maybe just color. As you're ramping into Kermit being back up and running and OnCore number eight and to non-Core number nine, just kind of how you're seeing customer demand on your end? Or are you guys relatively sold out? Just trying to think about how we should look at volumes even beyond just the third quarter as you see it today?
Bud Brigham: Well, I think that our sales team has been making great progress on the contracting front recently. As I mentioned in the prepared remarks, we've already had more than 9 million tons secured for next year in the Delaware. And we think we've got a long -- a strong line of sight on some incremental contracts in the coming weeks. So all-in-all, we're feeling pretty good about how we're positioned for next year and based on where we are in the calendar right now. Obviously, we're watching the market. We'd love to see this slow trickle of rig count decline, find its footing. But sand is going to continue to be a critical component of all the well activity out there. And so we're -- the positive trends are secular trends are still there.
Jim Rollyson: Got it. Appreciate that.
Operator: The next question comes from Doug Becker with Capital One. Please proceed.
Doug Becker: Thank you. Maybe just expanding on the logistics outlook in the near term, very strong 2Q. Just any color on 3Q into the back half of the year? Certainly appreciate that it sounds like it'd come off a little bit from last quarter's results?
Blake McCarthy: Yeah. When we were thinking about -- I mean, really, when you think about Q2 logistics results, I mean they were like really hitting on all cylinders. And it was one like they threw a perfect game. And while I think that we have the absolute best team in the business, betting on somebody continuing to throw a perfect game every quarter seems like full daring. So there's perhaps some natural conservatism built into our guidance there just because it's a complicated business. There's a lot of moving parts. But we don't see any real degradation in market conditions versus -- in the third quarter versus what we saw in the second quarter.
Doug Becker: Okay. And then maybe hopping over to the proppant side. Maybe just one more color on the supply and demand. Are there any indications that competitors might be taking supply off the market. And then just from a demand standpoint, or maybe more specifically a pricing standpoint, are there any cost price adjustments we need to be thinking about going forward?
John Turner: Yes. This is John. Coming into this year, we expected the sand supply-demand balance to be looser than we witnessed due to the -- I guess, because of the rig count and the client and the rig count we are witnessing in that count has continued like Blake said, continue to slowly trickle down throughout 2024, and that sand pricing faces headwinds. There are some things though, two important things to remember when you think about sand pricing for Atlas as we move forward. First, we do believe spot price soft sand volume pricing is currently at prices were mines at the high end of the cost curve, we're faced with the question of selling sand to breakeven or negative margins, or even if they should even shutter. So we are hearing more and more anecdotes of ship cuts in potential mines. While this is painful for the industry and our competitors, this is obviously positive for pricing dynamics in the long run. And obviously, sand prices -- sand plants are complicated operations. You just don't flip the switch and turn it right back on. So we're starting this plant requires quite a bit of time. So that's the first thing is we are hearing the plans -- that plants are starting to shutdown, cut shifts. So I think you are going to see an impact there. Second, with the distressed state of some of our competition, we are seeing some bifurcation in the sand market based on reliability. We completely understand our customers' procurement teams are looking to grab as much price as they can, but they also understand reliability of subways be paramount over securing the cheapest ton of sand. It's a lot more expensive for a frac crew to be sitting around waiting for sand than it is to pay a couple more dollars per ton. So Atlas' reputation for being a true service partner who's been -- who make sure you'll get the -- we'll be able to deliver the sand and have it on the well site. So when it's -- it will always be there very reliably. This is a reputation that we are -- something that we've earned really with going all the way back to the pandemic when most of our competition was shutting down a mine or two, we stayed open, and we continue to supply -- we generated positive EBITDA through that period. So I think from our competition standpoint, I think we are getting close to -- you're starting to see where companies that are competition, they don't perform and they're not going to financially because of where their cost structure is. And then finally, Atlas was designed when we put the company together to be the lowest cost producer of sand, it was designed to flourish in markets like today. Our assets are at the far end of the -- low end of the cost curve and combined with our market-leading logistics business and yet allows us to generate returns well beyond our cost of capital at these current prices and gain incremental market share. This position will even be strengthened further as we bring on the Dune Express early next year.
John Turner: I might just add, I mean, a couple of related trends that are really important is our cost structure is trending down as well over the subsequent quarters and together -- in addition to that, of course, our CapEx is also ramping down very substantially. So it's a really exciting time, particularly as you look forward to 2025 for us.
Doug Becker: Yeah. Sounds encouraging. Thank you.
Operator: The next question comes from Derek Podhaizer with Barclays. Please proceed.
Derek Podhaizer: Hey, good morning. I want to ask a question on the state of the market in the Delaware Basin when the Dune Express is going to be servicing. Can you maybe just talk about some of the customers out there, some of the frack equipment out there, really the overall demand of the Delaware? Do you expect to have any competition for mobile minis, market share from the Dune Express, simul and trimul concentration? Just your overall view of the Delaware just to help quantify us, the actual demand pull and how much the Dune Express will be servicing. And then lastly, will the Kermit Mine Legacy Atlas be able to handle all the volumes going out there, or will you be pulling from Legacy High Crush Kermit?
Bud Brigham: Yeah. This is Bud. I'll start, but some of these guys may want to add to my comments. So there's the two basins, the Delaware versus Midland, are very different, both in terms of the customers, but also in terms of the sand supply. We purchased high crush because of the Encore Mines in the Midland Basin were very attractive logistically to Midland operators, and thus it brought a very complimentary customer base to us. The Delaware is very different. There's not the smaller sand deposits out there, and there's not the many mines out there that provide the supply. We are very much advantaged in the Delaware with our high-capacity trucking and with the Dune Express coming online. So there's nothing that can match the Dune Express in terms of the cost structure, the reliability, dependability, and of course, the environmental impacts as well, so benefits that it provides. So we see a substantial majority, a substantial portion of our sand sales in the Delaware will be provided by the Dune Express. You guys may want to add to that.
John Turner: I mean, if you look at it, if you just -- sand supply -- sand demands roughly 70-something million tons, you know, roughly half of that is in the Delaware Basin. You've got -- so that means that we're going to be able to push 12 million tons down the Dune Express. I mean, obviously, there's a significant amount of supply that's not supplied off the Dune Express. We think we're going to be fully -- we think we're going to be fully utilized off the Dune Express once it's up and running. You also -- a large part of the Delaware Basin is in New Mexico, and so you do have -- and that's what -- that's really the area that the Dune Express is serving. So, I mean, the competition out there for sand mines is key there because of the regulatory environment in New Mexico. So obviously, I think we do serve -- our Kermit mines do serve most of the -- serve mostly the Delaware Basin, and I -- the Kermit mines that we currently have, like the Atlas mines will be the ones that will be serving on the Dune Express. We don't necessarily currently expect to pull anything off of the high-crush mines.
Bud Brigham: I might add one thing, and I thank you all, everybody on this call appreciates this fact, that the Delaware Basin, the northern Delaware Basin, is the best-producing province in the entire country. It's got the deepest inventory and the highest rate of return drilling in the United States. So we're very well positioned to serve that market.
Derek Podhaizer: That's really helpful. And then maybe just on the type of frac equipment that's out there. Do you see a lot of simuls and trimals concentrated in the Delaware versus the Midland or E-Fleets, just looking at it from that level?
Blake McCarthy : Yes, I think from my perspective, we continue to see adoption of simuls and trimals, E-Fleet across the board not only in the Delaware, but also in the Midland. We don't see any major trend differences between the two, but really operators looking to get more efficient. And as it gets more efficient, right, that's really where our value proposition comes to play is removing that sand bottleneck of logistics sand on the well site so that our operators and customers can continue working down that road of efficiency.
Derek Podhaizer: Okay. Great. All very helpful. I'll turn it back.
Operator: The next question comes from Sean Mitchell with Daniel Energy Partners. Please proceed.
Sean Mitchell : Good morning guys. Thanks for taking my question. Maybe to kind of follow up on Doug's question around simul-frac and frac design, if you think about the evolution of kind of frac designs, you went from zipper fracs to simul-fracs. It took a while for guys that were doing zippers to kind of adopt simul-fracs because they wanted to see kind of the results, I guess, of other guys doing it. It feels like more people are picking up simul-fracs. Are you seeing that in particular? I'm thinking simul-frac to trimul-frac. Are you seeing that more today than you were a quarter ago? Because it seems like in the calls we're seeing more people at least testing it.
Blake McCarthy : Yes, we're definitely seeing increases. I mean, it's a joke around here around, we're going to get to the octo-frac soon, right? But all-in-all, we're going to continue to see that trend move upward.
John Turner : The pace of the evolution of the industry has, I mean, it's certainly come a long way over the last half decade, where, like I said, different zipper fracs to a number of years to really saturate the market. It seems like the next new innovation takes a matter of weeks, not months or...
Bud Brigham : Yes. And this is Bud. I mean, that trend should continue. When you look at operators, it relates to the reason operators are consolidating. They need more scale. They need stronger balance sheets. The throughput on capital and sand is up and to the right. And so Atlas is the one profit and logistic provider that can match up and provide that throughput that these operators need for those operations.
Sean Mitchell : And then, Bob, maybe one more for me. Just -- you mentioned the cost structure moving lower. Can you provide any more color around that, particularly for 2025 or Blake?
Blake McCarthy : Yes. I think -- well, first of all, through the back half of the year, that's just getting back to normal operations. We've always had the lowest cost structure. It was elevated certainly not just with the rebuild process, but also with the amount of yellow iron and rental equipment we had on site this past quarter. Throughout July, we were moving a lot of that off. So that gives you a large jump in the mobilization there as we work through Q3. Towards next steps, I think we're continuing to explore more ways, just in everyday operations to lower, whether it's through automation, whether it's through electric dredging. I think that we had a -- I got a pretty exciting press release a couple of weeks ago with the terms of the Autonomous Trucking partnership with Kodiak. These are all -- we're continuing to look at ways everyday where we're just iterating over and over again to continue to drive our cost structure lower. It's -- Atlas fares most -- when it comes to getting our costs down.
Sean Mitchell : All right. Thanks, guys. Congrats on getting back half of the fire.
John Turner: Thanks, John [ph]
Operator: The next call comes from Don Crist with Johnson Rice. Please proceed.
Q – Don Crist: Good morning, guys. I wanted to ask, since you bought Hi-Crush, you kind of juggled the numbers around a little bit. But looking towards next year, how should we be thinking about maintenance CapEx? And what should that number be going forward? And obviously, your growth CapEx is going to fall significantly once you finish Dune Express out. But how should we look at those two numbers as a complete kind of CapEx number for next year?
Blake McCarthy: Hi, Don, it's a little too early for us to talk -- hard numbers around 2025 CapEx. Obviously, with the Dune Express coming online at the end of the year, 2025 CapEx is going to be down pretty hard year-over-year. We do have some exciting growth opportunities in front of us that will justify some incremental capital. But there's certainly nothing compared to the size of the scope of the Dune Express or the Kermit plant expansion that we had recently.
Q – Don Crist: Okay. And Bud, maybe or John, one for you. Obviously, spot prices are pretty low right now. How are you thinking about contracting for next year? And how is that kind of push-pull dynamic going amongst your customers? I'm assuming they want to lock up super low pricing and you don't want to. Is that the right way to think about it?
John Turner: I mean they want to lock up super low pricing. I guess one thing to remember is that Atlas is our cost structure. I mean we do have a much lower cost structure than our competition. We can really generate like we said earlier, at this time, our cost of capital at these prices, and we're seeing today, we're still generating a great return. We are in the middle of best to go into RFP season here. So we're going to start contracting and I mean I think a lot of our customers are looking for reliability as well. And then also a lot of them are looking to pull off Dune Express. I think we're too early to talk about how -- what we're going to be doing on contracting next year because we're just getting in those conversations.
Q – Don Crist: But is it safe to say that you're bundling both logistics and sand price in those contracts?
John Turner: For sure. Yes, that's the change. I mean we made that change about two years ago, we were just a pure sand contracting company. We started changing that strategy to be more of a -- we're delivering -- it's more of a delivered price to the well site.
Bud Brigham: I mean the fact that the compounding of our low cost structure, both on the production side and on the logistics side that – its unique for Atlas.
John Turner: Yes. And locating our mines – located our mines closer to the well site, like Blake mentioned earlier, I mean, and Chris mentioned earlier, talking about the mini mobile has been also talking about the Dune Express. I mean that's just going to -- as you can put our combined close to the well site, that lowers our costs get to -- get delivery cost to the well site.
Q – Don Crist: I appreciate the color. I'll turn it back. Thanks, guys
John Turner: Thank you.
Operator: The next question comes from Neil Mehta with Goldman Sachs. Please proceed.
Q – Neil Mehta: Yes. Good morning, team and first question is around return of capital, and you made the decision to bump the dividend and have a more fixed dividend structure versus more of a variable. And Bud and team, I just love your perspective on why you think that's the optimal way to return capital to shareholders and your perspective on the dividend growth from here?
Blake McCarthy: Hey Neil, good year for you buddy. It's a good question. So, the decision to move from the base plus variable model to a straight ordinary dividend was a little bit one of messaging. In our view, we want our investors to know that the dividend is something that we stress test severely. I feel very confident about paying out through all kinds of market conditions. With Q2 representing the peak of our CapEx spending around the Dune Express, we felt it was fitting to convert the dividend completely over. Looking ahead, once the dividend -- the Dune Express is complete and operational, our cash flow profile changes considerably to the positive. At that time, as management and the Board will discuss how we optimally want to return incremental capital to shareholders. And I think we all are very excited about sharing that with The Street in the coming quarters.
Bud Brigham: Yes. And I think you know, I mean, shareholders come first with us, and we're really excited about entering 2025 and the opportunity we have to return capital to our investors. So, it's going to be a very exciting year in that regard.
Neil Mehta: Yes. Thank you, both. I think it's a good signaling mechanism for sure. So, we appreciate that. And then the follow-up is Dune Express, the video is awesome as always. It does look like it's coming pretty close together. So just can you get us on the ground, what are the gain to getting this into completion and any critical path areas that you're focused on?
John Turner: The real critical path, I mean, everything has been ordered, all the equipment's arriving, everything has been coming in over the period as we expected to. I mean it's just execution right now. No real hurdles. Like we said, we -- we've made most of the major road crossings. We've got most of the -- cross-loads, the lease roads, pipeline crossings and then the counter crossings or the wall-lock crossings. So right now, it's just execution. The next -- I guess the next big thing is the electrical houses are going to start to arrive, and that's really the last step before they start just wiring everything in. So, we're still looking good at the going havens going down the Dune Express commercially at the end of this year. From a management change perspective, we're focused more on the launch than construction. We still have to execute. But we're -- as we spend a majority of the capital on this thing already. So, we're getting down to the -- close to the goal line on this thing, get this things -- punch this thing across.
Neil Mehta: Thanks John.
Operator: Next question comes from Michael Scialla with Stephens. Please proceed.
Michael Scialla: Hi, good morning. You mentioned the Kermit damage was more than expected or at least it impacted the second quarter more than you originally thought. Can you provide a little more detail there on what issues might have surprised you?
John Turner: Yes. I'll let -- I think it was more -- well, I'll let Chris -- Chris has been overseeing that. I'll let Chris comment on that.
Chris Scholla: Yes. Look, as we got into the production, right, just dealing with some of the space limitations that we have out there, we couldn't use our silos, if you will, and we started a temporary mobile load out. The cycle-times that we had anticipated on trucks running through the facility on those mobile load-outs versus where they actually were, they were a little bit slower than expected and really impacted our throughput there. We did divert them over to the legacy Hi-Crush facilities to help out. And as Blake mentioned, they were able to produce greatly for us there, so--
Michael Scialla: So yes, not as much on the plan itself being repaired is just the ability to...
John Turner: It was a combination of throughput limitations and then incremental like rental equipment expense. The amount of yellow iron that we had to have on site during the quarter, it was just a ton of congestion, and then that equipment is free.
Blake McCarthy: I mean we went from a process that had very little human interaction to having one that was very what I'd say is that it's very intensive from the standpoint of human interaction. So you had -- there was just a lot more focus on location.
Michael Scialla: Got it. And I guess, just some high-level thoughts on M&A. Hi-Crush has obviously worked nicely for you. You already have 30% market share in the Permian sand market. Would you consider acquiring more assets in that market? Or are you looking for more diversification at this point?
John Turner: Good question. When we look at the current landscape of proppant providers in the Permian and elsewhere, the market is still too fragmented and if it need a further consolidation. However, I don't think that necessarily means Atlas needs to be the consolidator. Our assets put us at the low end of the cost curve, and we just acquired a competitor that was the most adjacent to us on the curve. Thus, if we do any further consolidation, we have to be really picky about exactly what assets we're going to acquire as we absolutely do not want to leave our current position. That being said, there's a price for everything. It's a very unique situation in the oilfield as there's a lot of sellers and not a whole lot of buyers, and there's a complete third of capital. So it's a pretty attractive setting for companies that actually have currency. However, we're in a position where we don't need to do anything. So, we're going to be really picky on both asset quality and valuation. Any deal that we do, do will enhance our line of sight on growing our cash flow to shareholders, both near and long term.
Michael Scialla: Appreciate that. Thanks guys.
Kyle Turlington: And we're going to take one more question. We've got a market that's a fairly generic market, and we've got other earnings calls today. So we'll limit it to one more question.
Operator: The next question comes from Jeff LeBlanc with TPH. Please proceed.
Jeff LeBlanc: Good morning and thanks for taking my question. For the question I wanted to ask is could you give any more color on how we should be thinking about ramping the volumes for last mile deliveries ahead of the Dune Express? Are there any constraints that we should be aware of? On the one hand, your investment towards adding 2 incremental crews in Q3. But on the other hand, you mentioned that depot deployments seem to be facing some headwinds and you're evaluating additional locations. Thank you.
John Turner: Sorry, you're breaking up there on me. Can you repeat the question?
Jeff LeBlanc: Sure. So for my question, I wanted to see if you could provide any more color on how we should be thinking about ramping volumes for last mile deliveries ahead of Dune Express. Are there any constraints that we need to be aware of? I know your investment material pointed towards adding 2 more informal crews. But on the other hand, it seems like the Drop Depot deployment seems to be facing delays or headwinds, excuse me.
Chris Scholla: Yes. So from a commercial yes, this is Chris Scholla. From a commercial approach, as we talked about, we've got line of sight to some additional crews. We continue to see customers come as the Dune Express has moved from. This is not something real to construction to, oh, my gosh, you can drive over it and very real impactful. We continue to have those customer conversations and really look to move our last mile contracts over from last mile to supplying that directly off the Dune Express. So, we know our targets in the Delaware. We know the major players out there and folks that are in our heat zones. We continue to expand our partnership with those customers.
Jeff LeBlanc: Thank you. I'll hand the call back to the operator.
Chris Scholla: Thank you.
Operator: At this time, I'd like to turn the call back to management for closing comments.
John Turner: Thank you, everybody, for joining us. We look forward to reporting our third quarter results next quarter. Thanks.
Operator: Thank you. This does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a great day.